Operator: Good day and thank you for standing by. Welcome to the Cantaloupe Second Quarter Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to speaker today, [Dara Dierks] [ph], Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, and good afternoon, everyone. Welcome to the Cantaloupe Second Quarter Earnings Conference Call. With me on the call today is Sean Feeney, Chief Executive Officer; Ravi Venkatesan, Chief Operating Officer; and Wayne Jackson, Chief Financial Officer. Before we get into today’s call, I would like to remind you that all statements included in this call other than statements of historical facts are forward looking in nature. Actual results could differ materially from those contemplated by the forward-looking statements, because of certain factors including, but not limited to, business, financial, markets and economic conditions. A detailed discussion of the risks and uncertainties that could cause actual results and events to differ materially from such forward looking statements is included with our filings with the SEC and in the press release issued earlier today. Listeners are cautioned to not take place – to not place undue reliance on any such forward looking statements which reflect management’s view only as of the date they are made. Cantaloupe undertakes no obligation to update any forward-looking statements whether because of new information, future events or otherwise. This call will also include a discussion of certain non-GAAP financial measures that we believe are useful for among other things, evaluating Cantaloupe’s operating results. These non-GAAP financial measures are supplemental to and not substitute for GAAP financial measures, such as net income or loss. Details of these non-GAAP financial measures and the presentation of the most directly comparable GAAP financial measures and the reconciliation between these non-GAAP financial measures, as well as the most comparable GAAP financial measures can be found in our press release issued this afternoon, which has been posted on the Investor Relations section of our website at www.cantaloupe.com. And with that, I would like to turn the call over to Chief Executive Officer, Sean Feeney. Sean?
Sean Feeney: Good afternoon and thank you for joining us today. We are pleased to report record revenue report results for the quarter and confirm we are on track to deliver a strong year. Second quarter top-line revenue grew 33% year-over-year driven by double-digit growth in all revenue categories. Equipment revenue led the way with growth almost doubling compared to last year’s Q2. Transaction revenue continued to rebound with 31% growth year-over-year, and subscription fees grew 13% year-over-year. This was the third quarter in a row that we posted double-digit top-line revenue growth compared to the equivalent quarters in prior periods. A few other highlights from the quarter include a 31% in total dollar volumes, another record and 16% year-over-year increase in active customers. In the second quarter, subscription and transaction fees grew 24% a record for the third consecutive quarter. As evidenced by our results, our customers understand the value proposition of our products and services. We continue to be focused on enhancing our customer service as well as providing operators ways to engage their customers and optimize their businesses. We believe our existing customer base represents the largest opportunity to scale recurring revenue and connections. I’d like to share just a few of the examples of customer expansion from this quarter. Refreshing USA, a national independent vending operator purchased 1,000s of new [cashless] [ph] G10-S devices from us during the quarter. Admiral Beverage, a Pepsi bottler, continued a theme we are seeing of converting acquired businesses to Cantaloupe services and extending their agreement. And Continental Cafe purchased several 1,000 devices and will continue to expand Seed software to their latest acquired company. A notable new customer win in the quarter was the addition of Larsen Vending, which purchased its first ePorts during Q2. To continue to build on our sales momentum, we recently brought in payment services veteran, Jeff Dumbrell, as Chief Revenue Officer. Jeff comes to us with over 20 years of experience building and scaling high performance sales organizations in payments and technology globally. During his time at VeriFone, he served as Executive Vice President of Europe, Middle East, Africa and Asia Pacific, where revenue more than doubled during his tenure. I believe Cantaloupe will benefit from his vast industry and international expertise. And I’m confident he will continue our positive momentum, particularly outside of the United States. We continue to make progress on building self service capabilities, and improving the customer experience across service delivery and support. Over the past 12 months, we’ve doubled the customer services team, minimizing hold times and improving problem resolution times. We’ve automated certain customer service tasks, including device deactivation, transfers and callbacks. As I am out visiting customers, I’m hearing feedback that they are seeing results from our focus on improving customer service, which strengthens these relationships and leads to increase sales. We also continue to develop exciting new initiatives to enable our customers to increase revenue through new modes of payment, and additional consumer engagement functionality, as well as new business tools for running a more efficient operation. I would like to turn the call over to Ravi Venkatesan, whose promotion to Chief Operating Officer was announced in today’s earnings release. Ravi?
Ravi Venkatesan: Thanks, Sean. Consumers are exhibiting a high demand for fast, simple and seamless digital purchase experiences in all areas of commerce, including the unattended retail space that we are focused on. To address these needs, we shipped over 14,000 ePort Engage devices during this quarter. This is our next generation touchscreen interactive device, which has been very well received by our customers. We also launched our Campus Card product that gives students the capability to use a virtual ID card from their Apple wallet to make purchases at our ePort enabled vending machine. This is helping drive usage and engagement with the student community and benefits our customers at universities and campuses by driving up same-store sales for them. Our recent release of the Yoke Micro Market Version 2 includes significant upgrades to both the operator as well as the consumer experiences on the Yoke point of sale, the Yoke pay app and the Yoke portal. Customers now have greater flexibility to drive consumer engagement and loyalty with enhancements to our deals, promotions and reward programs. This along with kiosks and consumer management tools ensure that the Yoke markets product is better at serving consumers and simplifying the sales checkout process. Micro markets continue to be the fastest growing segment of the unattended retail industry. A trend we expect will continue as more and more businesses shift to touchless commerce. We recently completed a survey, which found that more than one-third of consumers between the ages of 18 and 54 own cryptocurrency, further 67% of those who own crypto are willing to use it for purchases if it were linked to a mobile wallet. With the popularity and ownership of cryptocurrency growing, we work on solutions to enable their use through our partnership with PAC [ph]. We are also partnering with the card networks and our customers to transition to EMV-compliant devices, which enables more secure touchless payments. As a reminder, we have the most EMV-enabled devices in the markets we serve today. We also continue to invest in developing additional services and solutions that enable our customers to operate more cost effectively. This is critical for our customers in light of today’s tight labor market and lack of labor availability. A handful of highlights from initiatives this quarter, we launched a new warehouse app, enabling warehouse staff to easily manage product purchases, transfers, and take inventory all via mobile or tablet device. We added additional customers to the final pilot for our remote price change product and expect to execute a full rollout in the first half of this calendar year. Customer demand and interest levels in this product are particularly high, especially due to tight labor and inflationary market conditions. A few weeks ago, we announced a partnership with HIVERY, which will provide customers with artificial intelligence power merchandising capability, powerful new product recommendations, targeted space to sales optimization, are all enabled using HIVERY’s proprietary algorithms to boost the top-line of Cantaloupe’s customers and improve operational efficiencies. This will empower our customers to react in real time to the way consumers shop and drive increase same store sales. We are seeing a lot of interest and already have multiple customers piloting this program. I would now like to turn the call back over to Sean.
Sean Feeney: Thanks, Ravi. On the international front, we recently unveiled our International Partners program aimed to drive market penetration and unattended retailers with unattended retailers outside of the United States. We look forward to providing an update on this program in the coming quarters. We also continue to work on improving operations within the company. We’ve gone live on 2 large projects. First, we have implemented NetSuite, consolidating our 2 ERP systems onto 1 platform. Also, our configure price quote project has gone live and contributed to our strong Q2 sales performance. We continue to invest in internal systems to provide future operating leverage. As you may have seen in our earnings release, we announced some changes to our executive team in addition to Ravi’s promotion. Wayne Jackson has decided to retire from Cantaloupe, making way for the promotion of Scott Stewart to Chief Financial Officer effective tomorrow, February 4. Wayne and Scott have partnered to transform our finance operations and updated our financial reporting systems. Over the next several months, Wayne will work with Scott and me on the successful transition and other strategic initiatives. Also, I would like to welcome Ian Harris to our Board of Directors. Ian is a Senior Analyst at Hudson Executive Capital, our largest shareholder, and has been a valuable resource to both myself and the Board of Directors since I joined in May 2020. I would like to thank Doug Braunstein for his many contributions to this company and board over the last 3 years and look forward to our continued engagement in his role as Founder and Co-Managing Partner of Hudson Executive Capital, which will continue to have 2 representatives on the board through Ian and Doug Bergeron, our Chairman. With that, I would like to turn the call over to Wayne to go over the financials in greater detail. Wayne?
Wayne Jackson: Thanks, Sean, good afternoon, everyone. During the second quarter, we continued our trend of strong year-over-year revenue growth attributable to increases in transaction volumes, as well as demand for devices as industry fully migrates to 4G technology. As a reminder, last quarter, we began disclosing a breakout of subscription and transaction revenues. We also revised the presentation of operating expenses in our income statement by disaggregating selling, general and administrative expenses. The new presentation is intended to provide additional transparency, and reflects in more detail how we manage our business. Q2 FY 2022 revenue was $51.1 million, a 33% increase year-over-year, driven by subscription and transaction fees of $41.2 million, and equipment sales of $9.9 million. Transaction fees grew 31% in the second quarter, which was a company record. Subscription fees increased 13% year-over-year. The 24% increase in subscription and transaction fees year-over-year is primarily driven by approximately 31% increase in total dollar volumes for Q2 2022 compared to last year, and we’re currently exceeding pre-pandemic levels of processing volumes. Equipment revenue for the second quarter increased 95% year-over-year, as many customers held off on delivery of 4G devices – with 4G upgrade devices until closer to the discontinuation of the 3G network support starting in 2022. Due to this, we expect the equipment revenue to continue to increase to the end of the 2022 calendar year. As a reminder, Q2 and Q4 are historically our strongest hardware sales quarters. Active customers increased 16% year-over-year to 21,315 customers. Active devices totaled 1.1 million as of December 31, 2021, an increase of 4% year-over-year. Total gross margin for the quarter was 31% down from 32% in the prior year fiscal second quarter. The decreasing gross margin was primarily due to a change in revenue mix of higher transaction fees during the second quarter offset by an increase in the gross margin on equipment sales. Subscription and transaction revenue margin was 39% versus the prior year quarter’s margin of 38%. Equipment revenue margins for Q2 FY 2022 improved to negative 3% from negative 6% in the prior year. Total operating expenses in the second quarter totaled $16.3 million compared to $14.9 million in Q2 FY 2021. The change in total operating expenses reflects the company’s objective to reduce general and administrative expenses and utilize these savings to invest in innovative technologies to acquire new customers and expand our footprint with existing customers. Net loss applicable to common shareholders for the second quarter was $0.5 million, or $0.01 per share, compared to a loss of $2.9 million or $0.04 per share in the prior year period. Adjusted EBITDA was $2.4 million in the second quarter, compared to $1 million in the prior year period. Relating to our balance sheet and liquidity, we ended the second quarter with cash and cash equivalents of $76.3 million. Turning to our fiscal year 2022 guidance. We remain confident in our previously issued guidance and continue to expect revenue to be between $200 million and $210 million, representing year-over-year growth of 20% to 26%. We expect transaction and subscription revenues to continue to grow based on increased dollar and transaction volumes, as well as incremental subscription revenue from new and existing customers. While we expect equipment revenue to grow in the second half of 2022, it will be more weighted to the fourth quarter. Net loss applicable to common shares is expected to be between $5 million and $7 million. And we expect adjusted EBITDA to range between $8.5 million and $10.5 million. Given the continued supply chain challenges and the need to build our inventory levels whenever possible, we now expect cash flow from operations to be between breakeven and negative $2 million for the year. Finally, I have greatly enjoyed working with Sean and the leadership team as much has been accomplished since the current leadership team has been in place. As I transition out over the next several months, I know Scott is well prepared and is the right person to help drive continued success for Cantaloupe in the future. I will now turn the call over to the operator for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Mike Latimore from Northland Capital. You may begin.
Mike Latimore: Great. Thanks, Sean. Congratulations on the nice results here. And Wayne, very nice working with you, best of luck in your next venture there.
Wayne Jackson: Thank you, Mike.
Mike Latimore: So, I guess, on the subscription and transaction gross margin, it seemed very solid is up sequentially. Is that kind of a good number to think about for the rest of the year?
Wayne Jackson: Hi, Mike, this is Wayne. It is – yes, the answer is yes. And the reason for that is we’re going to continue to see the transaction volumes at about the level we are and we fully expect to see subscription revenue continue to grow.
Mike Latimore: Got it. And – but the gross margin should be similar going forward? Is that what you said?
Wayne Jackson: Yes, you’re asking about the rest of this fiscal year. Yes.
Mike Latimore: Yeah, okay. Great. And I think you touched on a little bit, but your new CRO, what would – it sounds like International is a big area of emphasis maybe what would be the other kind of top 2 areas of focus here?
Sean Feeney: Well, as I said, Mike, we’re very excited to have Jeff on board. Jeff had a long and distinguished career at VeriFone and several other places most recently Boost Payments. International is absolutely an area that we’re looking to expand into, and Jeff has a network and strong relationships there to do that. Secondly, is driving subscription growth driven by expanding Seed or now with our Yoke 2.0 Micro Market, we think there’s a huge opportunity there. And we’re launching remote price change here in the second half and we’ll begin charging for that and selling it on a big basis. And then the last area is adjacent markets and hiring more business development people in those areas.
Mike Latimore: Okay, great. And then just any – if you could provide just a little more view into the opportunity to cross-sell, up-sell feed into your kind of current base, how does the pipeline look for that?
Sean Feeney: I’m never happy with the pipeline. But the pipeline looks good to do that. And I think what we’re seeing is, operators turning from focus on upgrading their devices from 3G to 4G. Of course, now the card issuers are beginning to push EMV compliance, which will be another upgrade cycle. But, I do believe, we’re beginning to see people coming out of the COVID kind of hold back. Secondly, we’ve begun to see operators doing more and more M&A activity. And what we’re happy to see there is, we have many of those larger customers that are doing the M&A. And they are converting the customers that they acquired to Seed software, which is adding to our installed base, as well as in many cases, upgrading them from – in the 3G to 4G and EMV from their competitor devices to ePort.
Mike Latimore: Yeah, great. Thanks very much.
Sean Feeney: Thanks, Mike.
Operator: And our next question will come from line of Cris Kennedy from William Blair. You may begin.
Cristopher Kennedy: Hey, guys, thanks for taking the question. On the subscription fees, can you just talk about the growth of that? Should we look at it on a sequential basis growing 2% sequentially or year-over-year? How should we think about that line item? Thank you.
Wayne Jackson: Hi, Cris. This is Wayne. It certainly has been growing sequentially. So far, our goal, as Sean touched on the last question is to grow faster, but I think for the remainder of this fiscal year that’s a good estimate. But longer term, more.
Cristopher Kennedy: Okay. And then can you just dive into that longer term? I guess, your longer term goals for growing that line item?
Sean Feeney: Sure, Cris, this is Sean. We are absolutely focused on that. And as I’ve talked about, we believe to Mike’s question that we can continue to expand the penetration of Seed, we believe that we’re 25% to 30% of the industry penetrated. So we’ve got plenty of room to go there. We believe that RPC is going to be a very good seller, and a very good product. And we’ll add monthly subscription per device per month. And what we’ve seen is with the inflationary and prices rising, we’ve seen more and more customers calling us about that. Third, we are adding HIVERY as an additional module, which will be an additional per month per device fee in which we’ve gotten a lot of interest and have – we’re piloting with several customers now and we’ll launch widespread in this half of the year. And then, as I’ve said kind of in every call, the mission that Ravi has is to give us a product every 12 to 18 months that we can basically add to subscription. So if you think of a classic software subscription model, we want to add additional modules that add additional revenue on a per month per basis. So, as Wayne said, for the next couple of quarters that sequential growth is probably about right. But I expect that as we move into FY 2023, starting in July that will continue to grow. And, I would expect that our subscription will continue to kind of grow and what I would look – what my goal is to move it towards 20%. That’s an aspirational goal. And I think we can get there over the next 12 to 24 months.
Cristopher Kennedy: Very helpful. Thank you. And then can you just go into a little bit more of your efforts to diversify beyond the core vending market, whether it’s micro markets or EV charging, whatever it is? Thank you.
Sean Feeney: Sure. It’s a great question. And one that is a big part of Jeff’s focus as I said. The biggest opportunity for us in the near term is, of course, micro markets. And what we’re seeing with many operators is they are adding micro markets and then redeploying vending machines in other locations. So we believe that micro markets is not necessarily a replacement, but a lift to that subscription fee. And I was at one of our very large customers this week showing them our micro market product. On the adjacent spaces, we are very focused in the electronic vehicle charging market. As you know, there are a lot of players in that market, it’s pretty fragmented interest. Today, we’re also focused on amusement, and seeing that come back post-pandemic and a lot of interest there. We are also looking at adjacent markets with taking the Yoke payment platform, and it works very well and unattended grocery, unattended convenience stores, and we think that there’s an opportunity there. And we continue with our partners like Cellomatics [ph] in laundry, car washes and other areas. And then international, when we get that going significantly increases our TAM, and we believe there’s both software and payment devices, primarily working through partnerships in other areas of the of the world.
Cristopher Kennedy: Very helpful. And then just one last one, can you just remind us what the current mixes of connections vending versus non-vending? Thanks a lot.
Sean Feeney: I don’t know whether we’ve given a number like that. But I would say that vending is probably north of 80% of our total connections.
Cristopher Kennedy: Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from line of George Sutton from Craig Hallum. You may begin.
Unidentified Analyst: Hey, guys, this is James on for George. Thanks for taking my question. Could you provide a little more detail on the International Partnership program? Sort of what types of partners you’re looking for there? I mean, is it processing, distribution? And then you kind of – you called out LATAM as a target geo? But can you give any specifics on sort of which countries you think make most sense to start often or which you find most attractive?
Sean Feeney: Sure. So let me take the last part of that. First is, in Latin America, we definitely see Mexico is kind of the lead opportunity there. And our partnership program is modeled after the very successful VeriFone International Partners program. Both Fernando, who is our Business Development Executive in Latin America; and Jeff, we’re very successfully executed that. And what it gives us structure for us to add potential operators who need software, or want to resell our software, and think of it is, in many cases, we’ll be leveraging our current U.S. partners, whether that’s [Fiserv or catalyst] [ph], and then local providers who can provide payment capability that we can partner with there may be some situations where we white label things basically to find a way to enter into the market, because we think once we’re in a market we can expand it. And we think that in some areas that we can add resellers of our current products in a partnership program. So it has many flavors, but it provides a structure for people to easily become part of the Cantaloupe team and to take on our competitors and others areas of the world than just the U.S.
Unidentified Analyst: Perfect. Thanks guys.
Operator: [Operator Instructions] And I’m not showing any further questions in the queue. I’ll turn it over to Sean Feeney for any closing remarks.
Sean Feeney: Great. Thanks, operator. I’d like to just add one more thank you to Wayne. He’s been a great partner. And as you can see, we’ve made significant progress in the time that we’ve been together, and we’re excited about the future here at Cantaloupe with Scott moving into the CFO role; Ravi becoming COO; and Jeff Dumbrell coming on board is Chief Revenue Officer. So we had a very strong quarter. And as I said, we’re on our way to what we believe is a strong year. So thank you for your interest and we look forward to talking to you soon.
Operator: And this concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone have a great day.